Operator: Greetings and welcome to the Vertex, Inc. Fourth Quarter and Full Year 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ankit Hira, Investor Relations at Vertex. Thank you. Please go ahead.
Ankit Hira: Thank you. Good morning, everyone and thank you for joining us for Vertex’s financial results conference call for the fourth quarter and full year ending December 31, 2021. On the call today, we have Vertex CEO, David DeStefano and CFO, John Schwab. Before we begin, allow me to provide a disclaimer regarding forward-looking statements. This call, including the Q&A portion of the call, may include forward-looking statements related to the expected future results for our company and are therefore forward-looking statements. Our actual results may differ materially from our projections due to a number of risks and uncertainties. The risks and uncertainties that forward-looking statements are subject to are described in our earnings release and other SEC filings. Today’s remarks will also include references to non-GAAP financial measures. Additional information, including reconciliation between non-GAAP financial information to the GAAP financial information is provided in the press release. This conference call will be available for replay via webcast through Vertex’s Investor Relations website at ir.vertexinc.com. With that, I will now turn the call over to David.
David DeStefano: Thanks, Ankit and welcome everyone. Our fourth quarter capped off a very strong year results as we delivered more than $425 million in revenue and annual recurring revenue growth of 17% compared to fiscal year 2020. I want to thank the entire Vertex team around the world for executing our strategic playbook and exceeding our goals. Our performance was fueled by full year cloud revenue growth of 46% and cloud revenue per customer growing by 10% for the year. Client solutions continued to dominate our new logo deals and we continue to see our installed base, choose our cloud tax automation as they accelerate their overall cloud transformations. Hundreds of six-figure deals contributed to our revenue growth this year, balanced across our software and services business as well as new logos and cross-sells. We have a growing customer base, representing the largest and most dynamic businesses around the world. Vertex has referenceable customer depth in nearly every industry vertical due to our extensive content database and we have demonstrated consistently in strong dollar-based net expansion rate. Our Q4 2021 net revenue retention rate was 108%, which represents an increase from 106% we recorded, both at the end of last quarter and year ago period Q4 2020. We continue to lead in the enterprise space while we invest in growing our mid-market share. We have multiple levers to pull when driving NRR growth through up-sells, cross-sell, cloud migrations, regional expansion and automating tax types from sales, use, communications, VAT, leasing and others. As we said throughout the year, we continued to increase our investments to capitalize on the large and growing opportunities ahead, while our proven durability of our business model enables both accelerated growth and strong balance sheet to sustain positive free cash flow. So while we deliver short-term performance, we continue to invest for the long-haul. We believe we are still in the early stages of a renewed growth curve with sustained secular tailwinds across the business, technology and regulatory environments. Our growth thesis remains very strong and our 2021 results demonstrate we are executing on all fronts, bringing new products to market with speed and scale, adding strategic acquisitions, doubling down on our go-to-market motion, taking our partnerships to new levels and delivering exceptional value to our customers, all in service to our vision to accelerate global commerce. We believe all of this positions us very well as we look towards 2022. Let me dive into these a bit deeper. From a product standpoint, we added new products and capabilities across the entire global portfolio, enabling connected end-to-end solutions for tax determination, compliance, data and document management. For our customers, this means one truly global scalable platform for tax automation wherever and however they do business. Earlier in 2021, we launched Cloud VAT Compliance to automate and simplify value-added tax complexity. Our customer design partner approach has created a nice pipeline of opportunities for this offering. In Q4, we rolled out our indirect tax intelligence, a tax-specific visualization, planning and risk management tool that extracts insights from the mountains of transaction data flowing across IT systems and our tax engine. As we add more business intelligence capabilities in 2022, we believe there is a terrific opportunity to serve our installed base even further. Most recently, we launched Edge, a true game changer for omni-channel companies like retailers who can deploy containerized tax engines to their point-of-sale systems with speed and scale. This solution came from our Tellutax acquisition and represents the next generation of tax automation. Overall, we are seeing strong pipeline for growth for all our new products, which strengthen our competitive advantage and market leadership. Same goes for our content, which gives us a unique differentiation in the market today and going forward. Due to the demand and interest we are seeing across verticals like food and beverage and oil and gas, we continue to expand the depth and breadth of our tax content database. We now have over 500 million data-driven effective rates and rules, covering 19,000 jurisdictions around the world and we continue to make strategic acquisitions to strengthen our portfolio and open up new market opportunities globally. The integration of our Taxamo acquisition in 2020 is on plan and we are seeing continued demand as we integrate their products on the Vertex platform to capitalize on e-commerce opportunities in North America and Europe. The combination of our collective capabilities is allowing us to clearly differentiate from our competitors. We are seeing how the addition of Taxamo Solutions is opening the door to new opportunities. An example this quarter was with a leading digital services company. Each month, they issue invoices to the patrons selling digital services on their site. We were brought in to support global compliant invoicing for Taxamo Advantage. We have also extended our support for this customer with managed services to handle their registration and filing across a variety of regions where they operate. In Q3, we announced the acquisition of LCR-Dixon to expand our global tax automation portfolio for SAP. The addition of the LCR tools and deep subject matter expertise of that team is already helping to increase our win rate and revenues tied to SAP deals. We believe we have the most comprehensive solutions for SAP of any tax software company period. We saw the impact this can have on our customers in Q4. The combination of the LCR tools with our tax engine, Chain Flow Accelerator and our team’s extensive SAP expertise was a game changer for one of our manufacturing customers. They were feeling the pain of managing huge tax manually and needed the robust functionality our solution provided to support their cloud transformation efforts. This deal illustrates the strength of our partnerships not only to get in the door with new opportunities, but also create cross-sell opportunities. I am incredibly proud the work our teams are doing to deliver best-of-breed tax technology for our customers and the industry recognition we are getting along the way. In the fourth quarter, Vertex was named a leader in both enterprise and worldwide value-added tax categories of the IDC MarketScape. We are also awarded IDC’s 2021 SaaS ERP Customer Satisfaction award. We also doubled down on our go-to-market motion, investing in sales and marketing while making our strategic partnerships stronger than ever. We are driving an entirely new sales motion with SAP designed for growth. We are not only working deals with them, but now our direct sales team are working in concert and engaging in account planning together. We made incredible strides in 2021 to onboard 11 new SAP channel partners. We will continue to build out this indirect sales force in 2022 to extend our reach into the vast and largely unpenetrated SAP ecosystem. Our Oracle business is as strong as it’s ever been over the three plus decades we have worked together. Our increased investment in their OCI platform resulted in a record number of Oracle ERP cloud deals in the quarter. We continue to have increasingly successful traction with our sales and go-to-market teams as part of the partnership with NetSuite. And we continue to add new partnerships and take others to new levels of scale. We added OroCommerce to our partner roster. Through our integration, we are leveraging their checkout process to provide Shopify merchants with Vertex tax calculation. This is significant, because it gives our omni-channel clients single tax engine across all their invoicing touch points. It also serves larger Shopify Plus customers who have more complex tax needs and need a consistent tax result from their front office and back office they were not getting otherwise. We also announced first-of-its-kind certification levels with Acumatica to capture and scale in the mid-market with this cloud ERP lever. So, when I step back and I see how all this comes together to deliver exceptional and differentiating value to our customers, we believe we have a truly winning formula, end-to-end solutions, deep and wide content, scalable unified cloud platform across all major tax types, being with integration and consistent results across source systems and partners and in-house experts to deliver rapid value in even the most complex environment. Before I close, let me share a few notable wins from the quarter that brings all this together. This past quarter, we were able to help one of the world’s largest foodservice companies moved to our tax platform to streamline tax compliance for over 50 business entities. This started out as a highly competitive sales cycle as they were running three distinct competitive tax platforms in various areas of their business already. The company had simply stitched tax together as their omni-channel business grew. Vertex partnered closely with SAP and EY on this project to win this new logo. I think this type of win emphasizes the importance of a single cloud platform for our customers to connect all their disparate systems and it was this competitive differentiation that allowed our cloud platform to replace the popery of existing systems they had from our competitors. This capability gives them greater confidence in their tax results, which in turn will lower adverse results on audit and with the added benefit of ensuring they can scale on one platform as their business grows. This is a common scenario that companies today are managing applications and workloads across fragmented environment. Our approach wins because we offer a single platform for all indirect tax types with interfaces to the multitude of systems our customers rely on each and everyday. Vertex customers can seamlessly plug our tax calculation into their ERP, CRM, procurement, subscription billing, e-commerce platform, payment gateway, or marketplace solutions for a unified view of information. Against our competitors, the ability to solve systems complexity is one of our greatest differentiators. Another example of how our cloud solution is winning in competitive sales opportunities is after being divested from their parent company, a global healthcare provider transition to Vertex to move their tax engine to the cloud. Our ability to connect seamlessly into SAP S/4HANA and Coupa played a significant role in this six-figure deal as well as our relationships with EY, Grand Thornton and Accenture. Another new logo in the quarter showcased the value of our end-to-end offering from technical functionality, the tax expertise and service. To close the deal at year end with a midsized company out of London, which offers a market leading platform for ground transportation management, they were moving their business into the U.S. and found themselves in unchartered waters managing sales and new stack. They needed one global solution that would scale with them and meet their end-to-end needs. We were able to meet all their requirements by combining our cloud solution for tax calculation with deep subject matter expertise and wide cloud managed services to support their U.S. returns filing means. Our performance in the quarter was also driven by expanding our revenues from existing customers. As our customers expand globally, diversify their offerings and accelerate their omni-channel strategies, we grow with them. The rapid growth of a leading food delivery platform drove usage expansion in Q4. This existing customer needed additional support for countries in the EMEA and APAC region. Our ability to scale with their business was one of the reasons we were selected early on and we are now readying them for greater global utilization. We have established a strong position in the high growth food delivery industry, and today, three of the top four delivery service providers in the U.S. are running on our cloud solutions. There is confidence in our ability to support the complex tax nuances of their industry that draws on the experience we have, solving their challenges for similar organizations. This gives us referencability to accelerate wins in other related areas and we are building from this position to capture the broader ecosystem surrounding this industry from retailers to restaurants. We also continue to make strides to support the growing number of businesses needing differentiated capabilities, the growth opportunities in e-commerce and marketplaces. We have seen tremendous growth opportunities as our enterprise customers standup their own online marketplaces. One of our longstanding manufacturing customers selected our cloud solution for e-commerce in the fourth quarter for their marketplace platform to sell parts to consumers on behalf of their independent dealerships. Like so many of our customers, having this cloud deployment in place perfectly positions us for an easy migration to cloud for the rest of their tax infrastructure when they are ready. All this highlights the progressive growth we continue to drive across the business. While I’m so pleased to take a look back at an impressive final quarter of the year, I’m even more excited to look ahead to 2022 and beyond. The opportunity in front of us is vast. The pace of change is not slowing down as companies adapt their business models to support revenue growth through e-commerce platforms and marketplaces, drive resiliency to their global supply chain and accelerate their move to the cloud. This pace of transformation is driving constant investment in business infrastructure and increased regulatory change to match the changes in global commerce. It is these compounding forces across business, regulatory and technology environment that provides sustained tailwinds and momentum for our business. And it’s given me even greater confidence that we are investing in the right areas in 2022 to empower our customers with the technologies they will need to successfully navigate this highly dynamic environment. Now I’d like to turn it over to John for a more detailed look at our Q4 results and our expectations for 2022.
John Schwab: Thank you, David, and good morning, everyone. Today, I’m going to review our fourth quarter and full year 2021 financial results and provide first quarter ‘22 and full year ‘22 guidance. Total fourth quarter revenues grew at 12.2% year-over-year to reach $111.7 million, exceeding the upper end of our quarterly guidance by over $1.7 million. Total revenues for 2021 were $425.5 million, up 13.6% from 2020. Our subscription revenues increased 13.1% year-over-year to $358.4 million, and our services revenues grew at 15.9% year-over-year to $67.1 million. Our annual recurring revenues, or ARR, grew to $370.2 million as of year-end, representing approximately 17% growth over 2020. Excluding the acquisitions of Taxamo and LCR-Dixon that were made during the year, our ARR grew at 15.1%, which is an increase from 13.1% that we reported in the third quarter of 2021. Our net revenue retention rate, or NRR, was 108% at year-end, growing from 106% reported at both year-end of 2020 and the third quarter of 2021, demonstrating our customers’ ongoing commitment to our software and solutions. For purposes of clarification, NRR only includes those customers that were with us at the beginning of the measurement period. So these amounts do not include the Taxamo or LCR-Dixon results. Our gross revenue retention rate, or GRR, was 95% at quarter end, which excludes internal migrations by customers to our cloud solution, which were approximately 3.5%. This is consistent with prior performance, which has averaged between 94% and 95%. In addition to the ARR growth, as mentioned above, one area that I believe requires mention is our managed services outsourcing business. This returns processing business generated recurring services of over $20 million in 2021, processed over $10 billion of customer payments and posted growth of 20% from 2020. This is a competitive differentiator and is a significant component of recurring revenue, which is not included in our ARR. At December 31, we had 4,272 customers. We continue to see strong growth in our cloud-based solutions among both existing and new customers. Year-over-year, revenues from cloud-based solutions grew to $127 million, an increase of 46%. Excluding acquisitions, cloud growth was 43% year-over-year, exceeding our guidance by nearly 300 basis points. In discussing the remainder of the income statement, please note that unless otherwise stated, all references to our expenses, operating results and per share results are on a non-GAAP basis. All non-GAAP financial measures are detailed and reconciled to our GAAP results in the earnings press release that was issued this morning. On an overall basis, gross profit for the fourth quarter was $79 million, representing 70.7% gross margin. This compares with gross profit of $70.4 million and a 70.7% gross margin for the same period last year. From a subscription software standpoint, our gross margin was 76.9% as compared to 76.8% in the prior year period. Gross margin on services revenues increased to 39.2% from 38.4% due to increased utilization. Our fourth quarter research and development spend, which includes our capitalized software development costs and cloud-based customer solutions was $20.2 million, representing 18.1% of revenue. Research and development spend for the year was $72.9 million, representing 17.1% of revenues. This reflects substantial investments in our cloud solutions, integration of our acquired technologies and ongoing expansion of connectors and APIs to continue the integration of Vertex’s capabilities into customer software platforms. These increases reflect an 18% increase in development personnel over 2020 through a more efficient and balanced use of a global development team and positioning us well for R&D growth and capacity as well as capability. Fourth quarter selling and marketing expense was $26.6 million or 23.8% of total revenues, an increase of $6.9 million and approximately 35.1% in the prior year period. Selling and marketing expense for the year was $91.8 million, up 31.8% from 2020. These increases are due to the funding of additional go-to-market activities to drive future revenue growth. We intend to continue to make additional investments in sales and marketing capacity to drive future growth. Fourth quarter general and administrative expense was $23 million or 20.6% of total revenues, an increase of $1.8 million from the prior year period. General and administrative expense for the year was $89.6 million, up 14.1% from 2020. This increase is primarily driven by planned strategic investments in information technology infrastructure, business process reengineering, integration costs and other initiatives to drive future operating leverage. Adjusted EBITDA was $19.3 million for the fourth quarter, an increase of $201,000 over the prior year quarter and exceeded the upper end of our quarterly guidance by $2.3 million. For the full year, adjusted EBITDA was $78 million, a decrease of $412,000 year-over-year. Adjusted EBITDA for the fourth quarter and for the full year exceeded guidance due to the shift of certain research and development and sales investment initiatives that shifted into the first quarter of 2022. Adjusted EBITDA margin for the full year of 2021 was 18.3%, a 260 basis point decrease versus the prior year, primarily due to our investments in go-to-market activities and new product development. In the fourth quarter of 2021, we generated $26.1 million of free cash flow due to strong revenue performance and cash collections, which represents a decrease of $4.9 million compared to the prior year. For the full year, we generated $46.9 million in free cash flow, representing a decrease of $2.7 million compared to the prior year. Our free cash flow reflects our continued investment in sales and marketing and research and development expenses to support our growth first initiatives. Turning to our liquidity and cash flows. We ended the year with $73.3 million of cash and cash equivalents. Subsequent to year-end, we amended our $100 million credit facility with a new 5-year $250 million facility, consisting of a $50 million term loan and a $200 million line of credit. We expect to utilize the facility primarily to fund working capital, capital expenditures, permitted acquisitions and for general corporate purposes. Turning now to guidance. For the first quarter of 2022, we currently expect total revenues to be in the range of $112.5 million to $113.5 million, representing growth of 15% to 16% from the first quarter of 2021 and adjusted EBITDA in the range of $16 million to $17 million, representing a decrease of $1 million to $2 million from the first quarter of 2021. For the full year 2022, the company currently expects total revenue in the range of $479 million to $483 million, representing annual growth of 13% to 14% from the full year 2021. The revenue guidance takes into account growth in software revenues and a strategic decision to manage growth in our services business to further our investment in the successes of our consulting partners while enhancing our subscription revenue for the future. This decision could impact our total revenue growth by approximately 1%. We expect adjusted EBITDA in the range of $72 million to $75 million, representing a decrease of $3 million to $6 million from the full year 2021, reflecting our support of acquisition integration as well as continued spend in research and development and selling and marketing expense to pursue opportunities for growth. As we have previously stated, we believe that continuing to invest in future growth initiatives now will drive future revenue growth towards our targeted levels. We anticipate that cloud revenue for 2022 will grow by $42 million from $127 million, representing a 33% increase over 2021. At the current time, we have no customers that are based in Russia or the Ukraine. And for those that do business in these regions, we believe that our pricing model gives us the confidence that this will not have a material impact on our operations. Overall, we will monitor any impact to the global economy as a result of the ongoing war in the Ukraine. We are very pleased with the solid fundamentals of our business, which delivered strong quarterly performance with revenue, EBITDA and cash flow fueled by strong ARR, NRR and GRR during the fourth quarter and for the year. Thank you very much. And now can we open the call up for questions?
Operator: [Operator Instructions] Our first question is coming from Samad Samana of Jefferies. Please go ahead.
Samad Samana: Hi, good morning. Thank you for taking my question. Maybe first, just as I think about the guidance for 2022, John, can you help us understand how we should think about maybe organic cloud revenue expectations that are embedded in that guidance?
John Schwab: Yes. I think, Samad, when we think about organic, I gave the estimate that we think we’d be growing cloud at 33% on a year-over-year basis. I think as we think about organic cloud, we think that will be – if you take out the first couple of periods where we didn’t have the tax activity, and that’s where the main driver is, that’s about 3%. So we’re about 30% organic.
Samad Samana: Okay. Great, thanks for that clarity. And then maybe stepping back, David, I think that you sounded quite enthusiastic about what’s going on with Oracle and SAP. And if I measure that, I guess maybe the last couple of years where ERP replacement activity had slowed down a little bit. Can you maybe just help us understand, are you seeing an increase in the pace there, especially as things may move a little bit closer to back to normal here in the U.S.? Just what are you seeing in terms of those replacement cycles? And is that ultimately leading to an uptick in your own deal activity as customers look to make a switch at the same time?
David DeStefano: Yes. I appreciate the question. I’d actually start with more than just the – more than just a technology refresh, but it’s actually much more around the active collaborations we’re now having with the OCI team at Oracle and the SAP team. We’re actually working deals directly with their account teams, which has been a new motion for us. Really excited about the opportunity that expanded both here in the U.S. and is taking hold in Europe. So that’s the fundamental shift more so than just the normal. As you noticed, the normalization of increased activity that we’re seeing between Oracle and SAP as they continue to grow their businesses.
Samad Samana: Great. Maybe just if I could squeeze one more in. Just on the Shopify integration that you just mentioned, I wanted to make sure I understood it correctly. Is Vertex now going to be integrated natively into that from an OEM perspective or is it going to be available in the Shopify app store? Just trying to understand how the nature of that relationship changed?
David DeStefano: Yes. Remember it’s through bold commerce. That’s our daily checkout. They work with Shopify on the checkout process, and we have customers now that are anxious to work with our integration with bold as a way to work on the – their larger Shopify opportunities where they are dealing with – want to get a consistent answer across the front office and back office, and so we’re seeing a lot of push by our customers to leverage the bold relationship.
Samad Samana: Understood. Thanks again for taking my questions, guys. Appreciate it.
David DeStefano: Thanks, Samad.
Operator: Thank you. Our next question is coming from Joshua Reilly of Needham & Company. Please go ahead.
Joshua Reilly: Hi, guys. Thanks for taking my question. So clearly, your e-commerce is slowing this year globally. How would you characterize your exposure to e-commerce versus in-store retail sales? And with in-store retail rebounding this year, how much does that help you overall in terms of new business activity?
David DeStefano: Yes, Josh, we clearly benefit from the entire retail space, but we also don’t – it’s important to note, we don’t have an overdependence on any vertical. So we’ve got breadth across oil and gas, manufacturing, food delivery, predictive vertical, we’ve got a strong presence. So we didn’t probably get all the run-up in e-com that maybe we could have in the past. I see the continued growth in the in-store activity as being nothing but continuing the relationships we enjoy across major retailers. So it will continue to be an element of growth for us.
Joshua Reilly: Okay, great. And then the average revenue per customer kicked up nicely again in the quarter. How do you think about this metric over the next year as you begin to ramp mid-market customers? And then how should we think about the mix of customers using more volume of the platform versus buying additional modules in that metric? And then was this mix consistent throughout the year?
David DeStefano: Let me try to pay off a few different points there that you asked, Josh. So I think, fundamentally, we continue to expand our base – our revenue base within the existing customers. We brought out five or six new products last year. We’ve got a pipeline of new opportunities like what we talked about with edge on the call here, the new edge computing, which is actually going to serve retail very heavily, which was a point you asked a moment ago. That will allow us to continue to expand wallet share with existing customers and grow average revenue per customer by the same token. As you know, our activity in the mid-market as we continue to increase our indirect investment – indirect channel investment is – and typically at a lower price point. So, I think there is actually a good balance. We have seen that progress, and I would assume, it’s going to be fairly consistent growth in that area because of the amount of work we are doing with our customer success management investment and the new products we are bringing to market that allow us to go broader and deeper with our existing customer base.
Joshua Reilly: Got it. That’s super helpful. Thanks guys.
David DeStefano: Sure Josh.
Operator: Thank you. Our next question is coming from Matt Stotler of William Blair. Please go ahead.
Matt Stotler: Hi, good morning guys. Thanks for taking the questions. I think maybe one to start with on the development roadmap. I mean you guys have put together some pretty compelling pieces with obviously, cross-border, increasing search of guys like SAP, the computing solution. As you think forward – and there is obviously a lot of things that are early in terms of ramp and it sounds like a great pipeline development, but as you think beyond that, I mean what are the most compelling additional opportunities that you see to continue to expand that product portfolio? And what are you getting in terms of feedback from the customers in terms of what they are looking for? And how that’s informing your roadmap here?
David DeStefano: We rolled out the tax VAT compliance product last year through a design partner program. And what we actively do with our customers is bring them in to help co-design offerings. Some of the things we are looking at now leveraging AI and ML, it’s being very much driven by some of the conversations we are having with them and where they are. The ITI product that we rolled out in the fourth quarter, which is really around visualization, data analytics, also driven off of them. We will be adding a lot of functionality to that throughout the year. So, those are two key initiatives that really are driven actually by customer design programs that we run. And the beauty of that is, it also affords us to start to create a pipeline as we bring those products out because the customers are active in the workflow and design of the product.
Matt Stotler: Got it. That’s helpful. And then maybe one from a high level, something that we have seen kind of across the market over the first several months of this year, there were some issues, obviously, supply chain issues? There is kind of labor tightness – labor market tightness and it has been impacting some people in terms of implementation cycles. Clearly, from the results doesn’t seem to be impacting you guys in a particular way. I would love some color on what you are seeing from that perspective, specifically with implementation capabilities and headcount both as it pertains to what you can do internally, what you are seeing from your partners and your customers as you are progressing through the year here?
David DeStefano: Yes, it’s a great question, Matt. I think we are really fortunate because of the alliance partner network that we have built, and the amount of work they do around our product, the ecosystem around our products is significant across the top 15 to 20 implementation firms. And so, that’s a really powerful capacity for us to help our customers when implementations are needed, plus our own internal staff as we continue to manage that. So, I am very comfortable from an implementation perspective. While we have a nice pipeline of activity to be implemented and our partners do as well, we have a nice pipeline of activity to be implemented and our partners do as well. I think fulfillment in time is not an issue we are overly focused on right now, given the current labor – the capacity challenge you know.
Matt Stotler: Great. Thanks again.
David DeStefano: Okay. Sure.
Operator: The next question is coming from Andrew DeGasperi of Berenberg Capital Markets. Please go ahead.
Andrew DeGasperi: Thanks. Good morning guys. I just wanted to expand on the SAP sales relationship that you mentioned that it’s expanded. I was just wondering, has the sales force been incentivized? Had their incentives changed with regards to Vertex?
David DeStefano: I don’t have visibility to that directly. We have been partnering with SAP for 20 years plus. I think they become so comfortable with our methodology, our product integration, which is so important to them and the quality of who our customer base is and sort of that referenceability that we get. When you look at that all combined and then some of the new offerings we have brought together like Chain Flow and LCR-Dixon, all giving us a unique perspective into supporting the SAP base. They have become very open to engaging with us. The quality of the collaborations are great. It’s really helped us in account planning, and I think it will allow us to serve the customer base far better than we ever had.
Andrew DeGasperi: Thanks. And then on the new customer growth, I mean it’s one of the strongest quarters I have seen so far. I just wondered how much more partners involved in those?
David DeStefano: Yes. Andrew, we have continued heavily to invest in our sales and marketing last year. I think we grew almost 20% in our investment in that capacity – in capacity in that area. And a lot of it was focused on that mid-market channel, we continue – we expect to do more of that this year. And so they were certainly a driver of a part of that. I would highlight again back to some of the OCI and SAP success that we enjoyed, also those partners being critical to some of the new logos we were able to add. There is a vastly un-penetrated base within Oracle and SAP that don’t have automated tax solutions. They have hundreds of thousands of installs, and obviously, we don’t have that many customers. So, there is an opportunity for us to continue to grow just within that ecosystem that we are really excited about.
Andrew DeGasperi: That’s helpful. Maybe for the last one, on the credit facility amendment clearly expanding that, just wondering if – should we expect some additional M&A this year, given a valuation of more appealing in the market for some of the assets you might be interested in.
John Schwab: Yes. Thanks very much, Andrew. Appreciate it. The amendments to the credit facility is something we wanted to do to make sure that we put ourselves in a position so to the extent that opportunities become available. We have got a significant amount of which that’s available to kind of pursue something. So, we will see. We are opportunistic. We are thoughtful about what’s out there, and we have got our eyes open to see what’s going to happen. But right now, there is nothing to report or nothing that’s certainly planned, but we will always be looking.
Andrew DeGasperi: Thank you.
Operator: Thank you. The next question is coming from Patrick Walravens of JMP Securities. Please go ahead.
Patrick Walravens: Great. Thank you and congratulations, you guys. It’s really nice to hear the improved tone. David, just very big picture, so if I look at it, your business decelerated for four quarters in a row. And then since then, AR – and this is on an ARR basis. And then since then, ARR has gone 13%, 14%, 15%, 17%. So, just very big picture, what has been going on that’s been driving that?
David DeStefano: Yes. Pat, I really appreciate your question, and thanks for the comment about our – really proud of what the team delivered. When we think about the market, in general, we talked about as we went public, SAP and Oracle were a big part of that as we hit the pandemic in – at the beginning of midyear 2020, we saw a slowdown for Oracle and SAP. We are talking to a lot of CIOs that are larger customers. They were focused very much on can we keep our business running remotely. We are not going to focus on new investment in automating tax. As we got to the second half, near the end of ‘20 and into early ‘21, we started to see that cycle begin to change. They were all proving they could run their business successfully, and there was an opportunity to address concerns that hadn’t been done like automating tax. We typically follow two quarters to four quarters behind a decision to acquire a new technology platform and move to the cloud, the way our customers are moving more with OCI and SAP HANA S/4. And so we are following that very naturally, which is what gives us confidence as we look forward in ‘22 for the pipeline of activity that we are seeing coming and these new advanced relationships we are building with SAP and Oracle.
Patrick Walravens: Alright. That’s super helpful. And John, for you, can you just sort of remind us what the drivers are in terms of the difference between revenue and ARR because revenue decelerated and ARR accelerated, which one you think is a better metric? I think we probably have answer that, but yes, if you could just remind us…
John Schwab: Yes, I would love remind you that yes, we consistently pay attention very heavily to ARR and the ARR growth because ARR revenue, we believe is sort of a lagging indicator. The ARR gives us that leading indication of kind of the efficiency of the sales team, what’s getting sold, how those things are going to turn into revenue in the future. And with our strong metrics around GRR, we are not – we don’t see any fall off there. So, I mean that’s why we think it’s a tremendously dependable measurement to use to kind of evaluate how that’s going.
Patrick Walravens: Okay. Got it. Thank you.
John Schwab: You bet.
Operator: Thank you. Our next question is coming from Daniel Jester of BMO Capital Markets. Please go ahead.
Daniel Jester: Great. Good morning everyone. Maybe just to build on Pat’s first question about sort of the high level overview. David, you have been retooling the business towards growth for a couple of years now. Can you just maybe philosophically help us think about where we are in that journey? Is 2022 going to be the year in which the vast majority of those investments are fully in place and starting to contribute, or is some of this structural pivot of the business going to extend beyond this year?
David DeStefano: It’s a great question, Dan, and great to talk to you again. We are – I think we are in an important year around those investments. I am really excited about what the team did accomplish in some of the investments we have made in R&D and the products we are starting to roll out that put us in a really good position as we enter ‘22. I think we come out of ‘22, it will be a major – the team will have accomplished a lot to position ourselves for the future growth that we are pursuing in the market. We will continue to invest in sales and marketing spend because the opportunities in front of us are going to be there. I think the R&D investment, we expanded our capacity 18% last year, which I am really proud of the team to have done that. And we are going to continue to monitor that, and – but I think that will start to normalize after we get through this bigger – the rest of this investment cycle here in ‘22.
Daniel Jester: Got it. And then in the prepared remarks, there was a comment about making some changes in your services business and to maybe push a little bit more of that to your partners. Could you expand on what exactly is going on there? Thanks.
David DeStefano: Absolutely. We have consistently and always value the quality of our alliance relationships. They are essential to our success. They are often a referral source for that ARR that John was just speaking about, and we work very closely with them. So, we have always sort of metered our growth in services to make sure we are supporting that alliance base. And we made a decision this year that we wanted to – we have been growing a little faster than we typically had over the past few years, and so we were excited about the way the team performed, but we also wanted to be thoughtful about sustaining the quality of alliance, relationships because as we are accelerating with SAP and OCI around deal flow, it will be – we will need to make sure we can fulfill everything that needs to be implemented and that will really fall in that ecosystem. So, we want to make sure we are doing proper partner relationships there for the long-term. It served us well for the past 30 years, and we want to continue to do that.
Daniel Jester: Got it. And if I could sneak one more in, if I recall, last year, there was some churn in your client base at the very, very low end of the market. Obviously, clients are growing again. So, is that – are we past that, or is that still something that we should be taking into consideration for the year ahead? Thank you.
John Schwab: Yes. I mean I think, Dan, as we think about it, there will continue to be a little bit of churn at the very, very low end. Again, I think – the thing that I think is important to emphasize here, as you look at our average ARR per customer growing over time, I mean it’s growing in the face of kind of these minor, very small customer movement that we have seen at the very, very low end. So, they are still a little bit left, but I wouldn’t anticipate it very much at all.
David DeStefano: And I would just build on that to say, Dan, look at our GRR quarter-in and quarter-out, it doesn’t change. Its rock solid, and the ones we lose really are largely M&A-driven. Actually, the bulk of what disappears from us is much more off of M&A. We are not seeing any cloud migrations losses at all.
Daniel Jester: Got it. Thank you very much.
Operator: [Operator Instructions] The next question is coming from Stan Zlotsky of Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi guys. This is Benton on for Stan. Thank you for taking my questions. I would love to start out with understanding just how far down market do you guys see yourself going as we move forward and then just additional impact that’s having on your go-to-market strategy. I know you earlier referenced that sort of indirect method that you guys are utilizing, I would like to tap into sort of the direct impact that’s also having on your sales team?
David DeStefano: Yes. So, as far as market segments, we are pretty clear with our team that through the indirect channels that we are building, we are investing in, we are engaging with customers typically in that $50 million – $40 million, $50 million at the low-end revenue and growing. That’s our mid-market space up to $400 million, $500 million. The – and then the rest of that would be what we would call enterprise. Anything below that, we are able to access through the relationships like Acumatica, CPA.com, which is much more of a one-to-many where we only have to deliver to Acumatica, and they are selling and supporting those customers. So, we are actually growing our customer base. We only count Acumatica as one customer, but in fact, there are a significant number of users on that space and through the CPA.com relationships that continue to use our software, but we only bill the source, not all the individual customers. So, we actually don’t count them. So, that’s how we support the low end of the market without having to distract our sales teams or invest in a number of channel relationships that really wouldn’t be as profitable to us and wouldn’t be as cash flow as strong to us as what the mid-market and enterprise market is. So, I think that was the first part of your question. Could you repeat the second part?
Unidentified Analyst: Yes. Just trying to better understand your go-to-market strategy that – and the direct impact that’s having on your sales and marketing team.
David DeStefano: Yes. Okay. So, I think I hit most of that. Our strategy is very clear, again, across those three segments. Direct sales serving the enterprise market very closely with either our partner sales teams, like SAP and OCI, or working directly with our alliance partners. In the mid-market, it’s more of an indirect motion directly into the channel, and we continue to build out capacity and relationships there. And then lastly, that down market will be much more of a one-to-many. And there are a number of relationships we are forming there to just be the cloud provider, but not have to have the sales force requirement. So, all that capacity spend I talked about in sales and marketing, which we grew – approximately sales and marketing about 20% in capacity last year, is all really focused on the mid-market and enterprise market. We don’t need to tie up that capacity to pursue the down market.
Unidentified Analyst: Got it. Thank you. And then just one more additional question for me, from a geographic perspective, how are you guys accounting that – for that in terms of better growth and so the growth potential you see going forward?
David DeStefano: Yes, Europe is a very largely untapped market. It’s really because of the complexity – the regulatory complexity that’s going around VAT and some of the regulations that have been rolled out is making it more complex. It’s creating – accelerating opportunity, but it’s a very un-automated space, meaning, if you remember, our largest competitor is the in-house solution that’s been good enough, and we are seeing that start to fracture as e-invoicing real-time requirements, some of the compliance changes and even tax determination changes are showing up in the EU. Our new SAP – our expanded SAP relationship that I was referring to is really going to allow us to accelerate growth in Europe, because SAP is the largest platform for enterprise customers over there. So, I feel like we are really well positioned as that market continues to grow. And then there is Latin America, where we – content is king down there. We made an important acquisition, Systax, a couple of years ago that we are really pleased with the way that’s performing. We are going to look to continue to support that investment and expand going forward because it’s a great opportunity in that market.
Unidentified Analyst: Thanks so much.
David DeStefano: Yes. Sure. Thank you.
Operator: Thank you. At this time, I would like to turn the floor back over to Mr. DeStefano for closing comments.
David DeStefano: Thank you. I would like to thank everyone for their time today. And I look forward to coming back together with you in May to share more around the advancements we are already making in 2022.
Operator: Ladies and gentlemen, thank you for your participation and interest in Vertex, Inc. You may disconnect your lines. You log off the webcast at this time, and enjoy the rest of your day.